Operator: Good morning. My name is Kasey and I will be your conference operator today. At this time, I would like to welcome everyone to the WWE Fourth Quarter and Full Year 2010 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the call over to your host, Mr. Michael Weitz, SVP of Investor Relations for WWE. Sir, you may begin.
Michael Weitz: Thank you and good morning everyone. Welcome to WWE’s Fourth Quarter and Full Year 2010 Earnings Conference Call. Joining me for today's discussion are Vince McMahon, our Chairman and CEO and George Barrios, our CFO. We issued our earnings release earlier this morning and we'll be referencing a presentation as part of our discussion. To clarify our performance and shed light on trends in the business, these and other materials, such as a quarterly, financial and metrics schedules are available on our corporate website at corporate.wwe.com. We will be making several forward-looking statements today as part of our discussion. These statements are based on management’s estimates. Actual results may differ due to numerous factors. These factors are described in our presentation and in our filings with the SEC. Reconciliation's for non-GAAP financial information discussed in this call can be found in our earnings release and on our website. Today, we will review our financial results for the fourth quarter and full year 2010 and we will follow this review with a Q&A session. At this time, it's my privilege to turn this call over to Vince.
Vince McMahon: I hear that dynamic introduction. Good morning everyone, I guess maybe certainly should be noted from a full year standpoint we achieved record operating results reaching reported EBITDA of about $94 million, no small feat. However, there are some difficult trends in the fourth quarter, we had some profit declines across most of our business operators including live events, we are down about 15% in average attendance in North America. Pay-per-view is off about the same, about 15%. Home Video at a whapping 44% decline which we’ll get into in a few minutes. There are some areas of strength as well. Toy revenue was outpaced last year by a 113%. We are continuing to develop or new emerging markets, Mexico and India. We have licensing deal into those areas which is going to give us a big boost very shortly as well as last quarter. We had our first event in China, which is going to be interesting going forward in terms of revenue opportunity. We just signed our new television deal in Russia as well as one in Brazil, so we’re really focusing on the Red countries so to speak. So I think that there are some areas to that are drivers should be noted, certainly talent development primarily more than anything else that goes with talent, with good products comes good financial results. I believe that we turned the corner in terms of our talent development, it’s far more extensive than it’s ever been, far more focused than it’s ever been and I believe that this year, certainly at WrestleMania, you’d be seeing a lot of the older talents but mixed with newer ones. We have individuals who have never appeared WrestleMania before in main events. So again, I think we’re poised very well for the future and even the near future in terms of our new characters, our new talent getting over as we call it, in the general public. We have begun opportunities in terms of developing our WWE network, we have had conversation with Verizon and have many more conversations lined up in the upcoming weeks that is developing is very well. We have a program called, Tough Enough television show which are going to be debut the day after WrestleMania, that’s on USA network and in terms of reality type show. We’ve pretty have a focus on a new way of expanding as opposed to in the past we’ve said international and things of that nature and that continues to expand, but there are new, many opportunities for us to flip the models so to speak and expand in that manner. I guess maybe I’ll throw it back to you George and I would do some Q&A stuff.
George Barrios: Okay, thanks Vince. As Vince mentioned, WWE’s performance in 2010 was highlighted by the achievement of record operating results as we generated the highest level of reported EBITDA in the company’s history. Specifically, we delivered EBITDA of $94 million and a 6% rise in net income to $53.5 million. Moreover, we improved our EBITDA margin to 20% compared to 19% in 2009 and 16% in 2008. I would describe these as favorable development given the headwinds that the company has faced during the year. To some extent, our reported earnings growth for the full year was facilitated by items recorded in the prior year which we view as nonrecurring. These included adjustments to our bad debt expense and charges related to our 2009 restructuring. In addition, the timing of reported TV production tax credit impact the comparability of our fourth quarter results to the prior year quarter. To clarify trends in our business I’ll discuss our performance on an adjusted basis, excluding these items were appropriate. For further discussion, please refer to the supplemental schedules in our earnings release or our website presentation. On an adjusted basis our profit contribution declined 7% from the fourth quarter last year reflecting three principle factors. These were, one, tough retail trends impacting both sales and pricing in our Home Video business. Two, continued transition in our talent base, which adversely affected our live event and pay-per-view performance, and three, the shift to a new film model under which we recognized marketing costs and recorded a loss in the period. Adjusted operating income for the quarter declined 22% to $14.4 million reflecting lower profits from our Home Video, live events, and pay-per-view businesses. In addition, adjusted SG&A expenses increased about 3%. For more detailed review of our performance in the quarter, let’s turn to page six of our presentation, which identifies the revenue and adjusted profit contribution (inaudible) as compared to the prior year. Starting with our live events including merchandize sales of these events, revenue decreased to $3.5 million or 10% from the prior year. This decline was primarily due to lower average attendance both domestically and internationally. Average attendance at our events in North America declined 15% to approximately 5,600 fans. Similarly, average attendance at our international events declined 12% to approximately 7,500 fans. We’ve managed 11% increase in domestic ticket prices to approximately $39, which partially offset the declines in attendance. Ticket prices at our international events declined approximately 5% in part due to changes in foreign exchange rates. Turning to our pay-per-view business, revenue fell 15% to $13.8 million from the fourth quarter last year reflecting a 23% decline in total pay-per-view buys including a 15% decline in buy for the comparable events produced in the current prior year quarter. The decline in revenue was mitigated by an increase in average prices and as a remainder, the suggested domestic retail price of non-WrestleMania pay-per-view events increased $5 to $44.95 in the beginning of January 2010. Revenues from the distribution of our television programming increased by 17% or $5.3 million driven by improved deal terms associated with the renewal of key programming agreements. Additionally, the rise reflected contractual increases particularly from our international agreements. During the quarter, we effectively transitioned our SmackDown program to the Syfy network. SmackDown became the most watched, regularly scheduled program on the network and it’s consistently among the top five most-watched cable programs on Friday nights. As mentioned in our earnings call last quarter, we have also moved our domestic NXT broadcast to our wwe.com website. The move is consistent with our objective of evaluating new media for the distribution of our content. In our consumer products segment, our licensing revenue increased $4.3 million or 54% primarily due to higher toy sales. Revenue related to our toy products increased by approximately $4 million reflecting the strength of our new partnership with Mattel. In fact, sales of our toy products increased 162% for the quarter and 113% for the full year. Revenues from our video games however decreased by approximately $400,000 as shipments of our SmackDown versus RAW videogame fell 35% to 285,000 units. Anticipating higher demand for new videogame products, we are now working with our partner THQ on the launch of a new game WWE All Stars, which is scheduled to debut this March. Home Video revenue declined 44% or $4.6 million primarily due to a $1.9 million reduction in our wholesale Home Video revenue, a $1.6 million reduction from lower than expected sell through rate for our current and prior period releases, and $1.1 million lower revenue from our international licensing. The reduction in our wholesale home video revenue was due primarily to changes in product mix and pricing, as the number of units shipped in the quarter increased slightly. The average effective price per unit declined 7% to approximately $14.22 reflecting discounts at sales and promotion. The downturn in video sales is echoed in earnings calls of other entertainment companies. For the year, our domestic home video declined essentially throughout the overall the industry. In our magazine publishing business revenue declined 14% or $0.5 million reflecting lower newsstand sales in the current quarter. In our Digital Media segment, revenue declined 3% to $10.3 million reflecting a 13% decline in e‐commerce sales from our WWEShop site and the February 2010 expiration of a key contract for mobile content. WWEShops saw a 14% decline in the average revenue per order, so it was about $46 which offset a 2% increase in the number of online purchases which increased to 125,000 orders. On positive note, sale of our online advertising and syndication of our content grew approximately 46% to $3.9 million for the quarter. And our film business, WWE studios recognized revenue of $7.9 million as compared to $0.2 million in the prior year quarter. The increase was driven by the release of our latest films, Legendary and Knucklehead, under our revised film distribution model. This new model entails self‐distribution in marketing of films. Under this new model, we reflect the entirety of these films gross receipts and its associated distribution and advertising costs in our results. In addition, this changes in the distribution model results in the earlier recognition of revenue and expenses as compared to our previous model. The current quarter included $5 million in revenue and $6 million in expenses, including $2.5 million of distribution and advertising costs resulting in a $1 million loss for the two films released under this new model. We expect each film to generate positive earnings in future period. For the six films that were released under our prior distribution model, we take revenues on a net basis, that is after the cost incurred by our partners are then recouped and reported to us. For these licensed films, we recorded an increase of $2.7 million in revenue from the prior year quarter primarily from 12 Rounds, which was released in March 2009. As of the quarter end, we had approximately $56 million in capitalized film production costs on our balance sheet, with approximately $16 million associated with our theatrical release 12 Rounds and nearly $34 million associated with film projects under our new model. Our balance sheet represents our stepped up investment in films. We will continue to evaluate our revised film model and its ongoing results. As reminder the strategic rationale for our film business is that it builds on our core competencies, brings the WWE brand to a new audience, and a structure to generate returns in excess of our cost of capital. Looking at our fourth quarter results across all of our business unit, our adjusted profit contributions declined approximately 7% from the prior year quarter. Increased profits from Television and Licensing were more than offset by declines in Home Video, live events, and pay‐per‐view. The resulting change in our business mix including the increasing share of film revenue contributed to a decline in our adjusted profit contribution margin to approximately 38% from 43% in the fourth quarter last year. Page 15 of our presentation compares the quarter-over-quarter results and provides a summary of changes by business. Adjusted operating income fell 22% from the fourth quarter last year reflecting our reduced profit and a 3.5% increase in adjusted SG&A expense led by higher marketing costs to support our various initiatives. Adjusted net income was $8.1 million as compared to $11.6 million in the prior year quarter reflecting lower results from our operations and an increase in our effective tax rate to 42% as compared to 36% in the fourth quarter last year. The rise in our effective tax rate was due to lower than expected deductions for qualified production activity as a result of recent tax changes in the tax code which took place in December of 2010. For the full year, our effective tax rate was 35%; looking ahead we estimate our effective tax rate over the next year at 35% to 36%. For the full year, our adjusted operating income declined 5% while revenue excluding films declined approximately 2% from 2009. Our performance reflected the primary challenges that I mentioned earlier, unfavorable industry trends in Home Video and the impact of talent transition on pay‐per‐view and live event. Adjusted operating margins fell to 17% from 18% reflecting the changes in business mix and the increasing share of film revenue. Despite the decline across most of our operations, our businesses exhibited three major areas of strength, increased value from our television content, significant growth from our toy business, and continued financial discipline. Page 16 of the presentation contains our balance sheet which remained strong. On December 31st we held $182 million in cash and investments with virtually no debt. Page 22, shows our free cash flow. For the full year, we generated approximately $32 million of free cash flow compared to approximately $111 million in the prior year. The $79 million decrease was due to three primary factors. $34 million increase in film production spending net of film tax incentive, $20 million increase in cash taxes paid, and a one‐time $13 million advance from a business partner, which was received in the prior year. The increase in our net film investment reflected a $30 million increase in production spending and a $4 million reduction in film tax incentives on a year-over-year basis. Increase in our cash taxes paid was due to an increase in estimated taxable income and $11 million refund received in the prior year. Capital expenditures were $11 million for the current year as compared to $5.4 million in the prior year primarily due to increased investments in television production initiatives. Looking past our near term challenges, we believe we can generate meaningful earnings growth by developing new products in market, while working to improve the efficiency and effectiveness of our existing businesses. Examples of the import innovation in our site include the introduction of a new line of metal toys, rumblers, a new video game WWE All Stars, as well as the launch of our new show Tough Enough. In 2010, our business showed strength in expanding distribution. Revenue from emerging markets such as Mexico, India, China, and Turkey grew by more than 75% led by increases in our television rights fees and toy sale. As an indicator of our growth potential in the high growth Red market, we held our first live exhibition event at the Expo 2010 Shanghai in China and recently completed TV distribution deals in Brazil and Russia which will make our programming available to audiences of 33 million and 24 million household respectively. We are working to accelerate our cultivation of these high growth markets. By executing our strategy with financial discipline we believe we can deliver on our own growth potential and build greater value for you, our shareholders. That concludes this portion of our call and I will now turn it back to Michael.
Michael Weitz: Okay, thanks George. Kasey, we are ready now. Please open the line for questions.
Operator: (Operator Instructions). And your first question comes from Jared Schramm with Roth Capital.
Jared Schramm – Roth Capital: Good morning.
Vince McMahon: Good morning Jared.
Jared Schramm – Roth Capital: All right, could you explain to me where exactly you think we are, and it sounds like a little more specifically and historically speaking when was the last time period you saw in the similar position as far as the talent cycle is concerned?
Vince McMahon: We are ready to – on an upswing, ready to make this move here. Again I think it pretty much starts at WrestleMania, although maybe it’s already started because we have indications from pay-per-view beginning in – with the rumble that things are turning around, but those are indications. So I think it’s already started. But I think it will be sort of a launch, a real big check up just prior to in the beginning of WrestleMania.
Jared Schramm – Roth Capital: Okay. As far as paper-per-view is concerned in the emerging market, is this mainly an infrastructure issue to work around or is demand picking up there for pay-per-view in some of Red countries?
Vince McMahon: It’s both.
George Barrios: I’ll add that, Mexico which a couple of years ago, we didn’t have one pay-per-view buy is now our second largest outside the U.S. contributor to pay-per-view buys.
Jared Schramm – Roth Capital: Looking at the Mattel partnership into the holiday season, as a percentage of the total potential you would see there, where would say the Mattel partnership is running heading into the holiday season?
George Barrios: We are not going to give any forward looking guidance on that, but we felt good all year long. We’ve talked about it all year long and as Vince mentioned, the growth in the quarter was about 150%, the growth year-to-date was about 113%. Q1 2011 is the first time we’ll see holiday toy sales with Mattel; for the most part last year’s first quarter primarily included our old partner’s toy sales. So we feel good about what we are with Mattel.
Jared Schramm – Roth Capital: Okay, thank you very much.
Operator: Your next question comes from the line of Michael Kupinski with Noble Financial.
Michael Kupinski – Noble Financial: Thank you I appreciate it. Can you talk a little bit about the number of domestic events that you might have as we enter the first quarter particularly, given the weather issues that so much of the country has kind of experienced.
Vince McMahon:
 :
Michael Kupinski – Noble Financial: Hopefully not. But in terms of the events where there – many events cancelled like in the January, February timeframe and I guess if you had any thoughts about the attendance, has that been affected?
Vince McMahon: Again, I think from a weather standpoint that’s what that is. I think we’ll have as many events next year from a local standpoint I’d say local and that is United States, if you look at it from a global standpoint probably about the same number of events. We will increase our number of international events which means we’ll have more total events in general next year. So I’m bullish on our live events are, as you mentioned before about our talent, our new talent initiatives in those, they are quote getting over and the public is accepting them and very much as interested in them. So the idea is to brush those new colors up with some of the older talent and get the bloom off the rose.
Michael Kupinski – Noble Financial: I was wondering if you could just revisit the dividend policy again given Vince, business has been strong as you probably would like to have been, any thoughts about revising the dividend policy at this point?
Vince McMahon: Again, we look at it from a quarter-by-quarter basis.
Michael Kupinski – Noble Financial: And then in terms of the cost side, the cost I guess on the revenues were little bit, you guys have done a great job last year managing the cost in a pretty difficult challenge environment but seems like kind of lost a little bit of grip of that. Was just wondering, if you can give us a little thoughts about, your costs going forward and then also any updates your long-term earnings growth strategy for the next of couple of years, given your guidance of double-digit growth?
George Barrios: Yes, I think the – on the cost side Mike, we had up $383 million of total expenses this year, which is roughly the same number last year. So when you put some inflationary pressure on the cost space to keep up flat itself is fairly big accomplishment. And then on the SG&A side, we brought it down about $108 million this year. So we feel pretty good about what we’re doing on the cost side, there is obviously a pretty sizable reduction of work, we did some heavy lifting in 2000 – end of 2008 and 2009 to get our cost structure more in line to deliver the EBIDTA that we’re delivering now. I don’t think there’s that next wave, I think right now the focus is on, let’s keep the infrastructure where it is and let’s focus on new ideas to drive revenue.
Michael Kupinski – Noble Financial: I have to apologize I came in a little bit late but did you give any updates in terms of launching network?
Vince McMahon: Yes, I mentioned that we’re going forward with that, we just had our first meeting with Verizon and scheduled, we have a meeting setup with all of the carriers, the DIRECTV, Time Warner and we already have relationship with Comcast and with the NBCU aspect. But we’re going forward with that, we feel very, very good in early indications from everyone. It’s a great idea and everyone seems to be looking at a lot of revenue from it.
Michael Kupinski – Noble Financial: And I know that you guys talked about that in fact looking at a partnership perspective that you didn’t think that there would be a lot of cost associated with that. Is there any thoughts in terms of that prospect, what the cost side might look like?
Vince McMahon: Well, I don’t think we’ve ever mentioned it was going to be a big cost side from our standpoint. And all depends on how these deals are structured, you got a lot of moving parts in today’s environment is to what a WWE Network really means and what does it mean to a TELCO, what does it mean to a cable consortium, with satellites. There are lot of moving parts here, I don’t necessarily think that it’s going to be a big cost, some in terms of production, but we have, we do some of the television shows now with a lot of more capacity to do others in the way that we do the much, which is a very efficient way, far more efficient anyone in television business.
Michael Kupinski – Noble Financial: Thank you, very much.
Vince McMahon: You bet Michael.
Operator: Your next question comes from the line of Jamie Clement with Sidoti.
Jamie Clement – Sidoti: Good morning gentlemen.
Vince McMahon: Jamie.
George Barrios: Hey Jamie.
Jamie Clement – Sidoti: Hey. George, I don’t think I heard – I’m not sure if I might have missed it, but did you discuss the CapEx range for 2011?
George Barrios: We didn’t discuss it but $8 to $12 million is always what we push maintenance CapEx. Obviously, if we have an opportunity to invest in growth project or something strategic we’ll take a look at that with our maintenance CapEx if it’s well.
Jamie Clement – Sidoti: Sure and then obviously – it was first discussed a number of years ago and then kind of put on hold, put a new media center, is that something we should expect sooner rather than later is that, is your current production infrastructure good enough for now.
Vince McMahon: It’s good enough us at the moment. I think did lot of this in terms of cost will also relate to WWE Network and we are trying to tie the two together to a certain extent, although we will be even without a network, we would be like forward soon I would think, with those cost and the expansion of our studios.
George Barrios: And Jamie basically on my answer, the 8 to 12, which I had obviously described as maintenance CapEx would not include the media center.
Jamie Clement – Sidoti: Okay of course, and Vince final question. You obviously have way more experience in this than anybody on this call. I would imagine that rating as in pay-per-view implies and that sort of thing lag, your audiences response to what’s going on from account perspective, but you are on the road a ton. What’s your sense in being in the arena, do you think the crowd is starting to buy into some of these newer characters better?
Vincent McMahon: No question about it, and again it’s, to me that is the gauge of the temperament of our audience especially a lot of end goers. And you know whether or not based on audience reaction, whether or not there is an acceptance or indeed, they are pinning up on a whether it’s a bad guy or a good guy in terms of their reaction and these new talents are really getting over and I’m really proud of that.
Jamie Clement – Sidoti: Okay, great. Thanks a lot for your time as always.
Vincent McMahon: Thanks Jamie.
George Barrios: Thanks Jamie.
Operator: (Operator Instructions). Your next question comes from the line of Marla Backer with Hudson Square.
Marla Backer – Hudson Square: Thank you. A couple of questions. First, just a follow-up on Jamie’s last question about some of the talents that you are seeing up and coming, is there anyone on the horizon that you can identify as potentially, the next John Cena or the next big name star.
Vincent McMahon: It depends a lot enough from a political standpoint; our talents are listening to this call. There are some political sensitivities naturally in terms of the locker room or whatever, but The Miz, Mike Mizanin, he is known as The Miz, certainly is coming on very, very strong in a short period of time. I’d say short period of time, he’s been with the company for quite a long time, but he has fought his way all the way up to the top and sometimes it does take a lot others, the characters are there and the public lashes on to him right away. But there, I would say maybe more than any others, you got The Miz, you got Randy Orton, Alberto Del Rio you have a lot of really new characters that the audience are going to grab a day to.
Marla Backer – Hudson Square: Thank you and WrestleMania tickets went on sale last month I think, right at the end of last month. So do you have any indication right now and just for this ten days how ticket sales have been tracking versus prior year.
Vincent McMahon: Yes, sure ahead of last year, both in terms of tickets and because of the scaling of the house in Atlanta and the market in Atlanta being somewhat, a lot of it I would think more fluent than the Phoenix area, somewhat. We have – our revenue is much higher and we just had our press conference by the way Marla yesterday in Miami for the following WrestleMania.
Marla Backer – Hudson Square: I saw that, I mean I saw that you had announced Miami as the next WrestleMania and with a lot of being what it is, I was thinking well that would grate right now.
Vincent McMahon: It’s a whole lot better than northeastern.
Marla Backer – Hudson Square: And my last question is, and this is a topic we haven’t touched upon in quite a while, but when you first launched the celebrity host initiative, I think it really did a great job with sort of juicing the interest well and we saw that in ratings. Are you still using celebrity stuffs are you still seeing the same kind of attraction or is it something that was a short-term event and it sort of sizzled.
Vincent McMahon: Well, we are going to go forward with celebrities, it’s going to be more on a selected basis. I mean, once you get into the grind if you would, of doing things in a weekly basis, then you begin to get into secondary celebrities and what have you and, the audience goes, wait a minute, that guy is not – not much of star. So we are going to be doing this going forward on a more selective basis with much bigger stars and we think that’s the way to do it rather have a pretty – a formula in which, okay, what star are we bring in this week from the outside, because it takes away time as well to developing your own stars.
Marla Backer – Hudson Square: Okay. Thank you.
Vincent McMahon: You bet.
Operator: There are no questions in queue at this time.
Michael Weitz: Thank you Kasey and thanks everyone, we appreciate you listening to the call today. If you have any questions please do not hesitate to contact me Michael Weitz at 203-352-8642. Thank you.
Vincent McMahon: Thanks everyone.